Martina Kalkhake: Good afternoon, ladies and gentlemen, and welcome to our webcast on Bilfinger's Full Year and Q4 2025 results. My name is Martina Kalkhake, and I'm joined today by our Group CEO, Thomas Schulz; and our Group CFO, Matti Jakel. We will start with the presentation of the quarterly highlights and also the full year financials and then open up the call to your questions. [Operator Instructions] The event will be recorded also as usual. Now I hand over to Thomas.
Thomas Schulz: Thank you very much, Martina. Hello, everybody out of the sunny Mannheim here in Germany. When we look into the year 2025, we can say that we achieved all financial targets what we set out for the year. It was a year with clear market -- our market position expanded, but in a very volatile environment. Our orders received went up 6%, revenues 8%, EBITDA margin up by 30 basis points and free cash flow significantly up to EUR 330 million. We propose a share increase from EUR 2.40 to EUR 2.80 per share. The outlook for 2026, we fixed with EUR 5.4 billion to EUR 5.9 billion, and the EBITDA of 5.8% to 6.2%. On our list, where in the last year acquisitions, we did 3 acquisitions, and we announced 1 signing in that case for Turkey. When we then look into the targets a little bit more detailed, you see on the left side, the revenue development, '24 full year to '25 full year. We achieved an 8% growth and a 4% organic. In EBITDA, we are up 13%. This proves that our system, our strategy with operational efficiency is actually working quite well. Our free cash flow made a significant jump upwards from EUR 189 million to EUR 330 million, which is a 75% increase. Our outlook was EUR 300 million to EUR 360 million but that was actually brought up during the year. When we then look into that what we do as a company, you know that sustainability is the core. Efficiency is the core of the Bilfinger Group to improve that on our customer site and customer businesses. On that very lively slide, I would like to have your focus on the left down part, the greenhouse gas emissions, Scope 1 and 2 intensity measured in CO2 versus million euro revenue. And there, we have a significant step improvement by minus 15% from '24 to '25. The second thing is in the middle of the slide, you see more than 0.5% of our revenue as an investment in learning and development for our people. Our people are our assets. Our people are our reputation, our competence and, in that case, our future. That target, of course, we fulfilled for 2025, and we will fulfill it for 2026 too. Above that, it's about safety. Safety is not only important that all our employees and people related are safe and in safe working conditions, it is actually for our customers a quite good KPI to see how our performance as a company, as a group on customer side is working. And we can announce with, yes, quite a lot of being proud of our own people that we had one of the best years ever in the Bilfinger Group. We actually improved the TRIF from 1.12 down to 0.91 and the LTIF significantly from 0.32 to 0.18, which is both world-class and shows the position of us to help customers to get more efficient. Next thing is that we measure our business in 4 categories because for mechanical industrial service, the European taxonomy and classification out of Brussels just forgot about that part of the industry, which, of course, is quite important. So we introduced, at the beginning of '23, our own classification. What you actually know when you buy, for example, a fridge in an electronic store. A is very environmental friendly, D is not environmental friendly. And here, you see the year '23, '24 and '25 on the left side. And you see that we are in the categories with the darker blue color, step-by-step going up when the gray one, which is actually the coal and fire energy generation-related business is slightly going down. To give you a little bit more information you have on the right side, some of the orders. For, a, it's a clear energy generation CO2 reduction direct business; and, b, it's enhancing energy efficiency and then, c, is all the support for that work. If we then go further to the industry outlook and industry development, how is the business going? We use, for quite a while, the production index and you have that on the left side and its index the first time here to the year 2023. Before it was 2019, the last year before COVID and '23 is the first year after COVID, hardly can say it was completely over, but a good measurement. And you see 4 graphs and the graphs actually symbolize the different industries. Of course, the most sticking out is, of course, the green one, pharma, biopharma with quite an increased outlook to EUR 130 million up in the index up to 2030. Then you have energy, then you have oil and gas and then you have chemicals and petrochem. On the right side, you see very much what our share is. The biggest industry we are operating now in is energy with 24%. The demand is okay and good. And then we have chemicals and petrochem, which is 23%. Demand goes sidewards. And here, the sidewards movement is predominantly out of Germany. We don't see further going down but we don't see a significant up no matter that they are the first positive signs at the end of the tunnel. Then we have oil and gas with 18% where the demand is good, too. And of course, pharma, biopharma, where we still see quite a positive market. Important in that is our outsourcing potential, the potential where customers decide or could decide to give us, Bilfinger, a big part of their complete maintenance business because we are experts in it. We do it more than 1,000 times per day, and that actually generates for the client a lot of positive profit impact. These outsourcing potentials are significant good in the chemicals and petrochem because they are -- our customers are there for quite a while under pressure. And you see energy is good. Oil and gas is good and pharma and biopharma is good, and it's part of our growth story. Then we go further. It's about selected orders. We always show you free orders of different geographies and different industries. On the left side, it's from our dear client, Borealis in Sweden. It's actually about the responsibility of Bilfinger to create an increase in production capacity in chemicals and petrochem. In the middle part, it's about energy. It's Estonia, our customer, Utilitas, and again, it's about district heating. We in Bilfinger a believe strongly that district heating is an ongoing positive development. And it makes actually from an energy point of view, a lot of sense. On the right side, we have oil and gas out of Germany. It's the company, Gassco, and it's about the reliability of the gas supply and gas infrastructure, which is nowadays more important than ever before. Out of that, we go to innovation because we, as an industrial service provider, have a fantastic position by having most of our people permanently on customer side, to create ideas and to make products out of it. This product, what we show today, is the Bilfinger Acoustic Corrosion Detection System. When you are in a processing plant, you have pipes, you have containers, you have storage tanks with material in it, liquids, gas, powder, partly flammable, partly quite aggressive in the environment. And when you try to detect corrosion, which is, of course, important to know what happens, you have normally in regular operation to empty all of that so that you can make your measurements. We developed together with other partners, a special acoustic emission sensor where we can go in a current environment in operation into the plant and measuring the effect of corrosion as a potential threat, leakage and so on. That is not only reducing the downtime for the customer and bringing up cost savings for the client, it is a significant safer approach and fits very much into our safety story. Out of that, we come to the figures. On the top line is our more or less already quite famous opportunity pipeline, what we invented several years ago. It shows actually indexed to 2 years before the amount of possible opportunities for the Bilfinger Group judged by if they will, out of our point of view, happen and if we have a chance to take the order. And when you see the development of the fourth quarter in the last 2 years, we actually improved with that potential what we have in front of us to roughly 110 versus that what we had at the beginning of the year -- at the end of the year 2024 or in the year 2025 -- or '23 and '24. When you look into it, a part of that improvement, of course, comes through our quite active M&A strategy, what we drive. Each M&A is, of course, adding us more potential. Out of that, the orders received, when you look here, we actually had a good year, but as it is typical for us as the Bilfinger Group, we have quite a fluctuation between the quarters in the order intake. It is based on the fact when milestones or contracts are dropping into a quarter from a timing or not. So out of that, we had organically and inorganically negative development versus the quarter 4 in 2024. But our order backlog throughout the year and versus the quarter actually improved by 5% or 4%, which shows a very good stable development of our group and is fully in line with our growth story. Out of that, I would like to give to Matti, our CFO.
Matti Jakel: Yes. Thank you, Thomas. Good afternoon also from my side here. Yes, let's take a bit of a deeper look into the numbers. As Thomas said before, the orders received in the fourth quarter were a bit, let's call it, softish based on timing of contract awards and volatility in the markets that we have, I think, communicated quite well over the last 2 years, at least. For the full year, orders received increased by 6% in total, 2% organically. The acquisitions play a role in here, but also we had a little bit of a negative impact from the weakening U.S. dollar. Order backlog reached EUR 4.3 billion after EUR 4.1 billion in 2024, so a very nice increase. Revenue, a strong increase of 8% and 4% organically to EUR 5.4 billion. Growth in the energy sector, in the pharma and biopharma sector and obviously, due to the cost pressure, some decline in chemicals and petrochemicals. As part of our derisking, we introduced to report our revenue shares by a remuneration type. Early on, we just differentiated between projects and service and frame contracts. This year is a better picture almost 50%, 44% to be exact, is time and material, close to 20% is unit rates, 70% is mixed elements in the remuneration and only 20% is lump sum, which gives you a fairly good picture how well our contract portfolio is risk-managed. On the profit side, our gross profit increased from 10.9% to 11.3%. That's an increase on the absolute terms of 13% and again, what we announced during the strategy, product mix improvements, derisking, standardization, all of these do drive our margin improvement across all segments. On the SG&A side, we remained stable across the year at 6.3%. However, we have to say that the acquisitions, the 3 acquisitions that we did in 2025 came in with higher SG&A ratios which does give us opportunities for cost efficiencies in the future years. And EBITDA developed very well from 5.2% to 5.5%, and the last quarter at 6.1% was the strongest quarter sequentially. We had 4.5% in the first quarter, 5.5% in the second, 5.8% in the third quarter and then 6.1% in the fourth quarter. So a very nice development sequentially. Important also is to look at the adjustments. As you know, we do report on the reported numbers, but to give you a full picture here, we had last year a positive contribution from those adjustments of EUR 7 million and this year of negative EUR 8 million. So that's a swing of EUR 15 million. If you factor that in, then you see the real operational improvement, which is then more than the 30 basis points here. If you refer it to EBITDA, then the improvement is 50 basis points. Take a brief look into the segments. You will know that we have changed the segment structure effective January 1, 2026. Here is 2025, so it's the pre-existing segments. Europe, a very large segment with orders received of close to EUR 4 billion. That's a slight decrease organically, but overall a 6% -- a strong 6% increase. Revenue, very similar, organically, a slight decrease, but overall, 6% increase for the full year. Book-to-bill at 1.06, stable, same as last year, 1.06 and the order backlog reached EUR 2.9 billion, so almost EUR 3 billion in the segment. On the profitability, in margin numbers, a slight decline, from 5.9% to 5.8%. But what I mentioned before in terms of the adjustments, here, we have a swing of a total of EUR 17 million. So again, if we look at EBITDA adjusted, that improved from 8.1% to 8.5%. You find those numbers in the backup to the slide deck. International, very nice performance across all KPIs, 17% increase organically, 13% in total when we look at orders received. We did quite well on frame contracts in the United States. The government customers still are hesitant to award contracts. We had the shutdown, shutdown ended and then there was another one. So that takes a little while for this process to restart again. But very good new orders from oil and gas and energy industry in the Middle East. Revenue grew by 6%, 10% organically to EUR 742 million. And the profit from a breakeven position last year to almost 4% for the full year. And again, it's operational excellence that's driving margin expansion not only in the United States but also in the Middle East. And then technologies, also a very nice performance on all KPIs, 6% increase in orders received, nice growth, in nuclear and in biopharma and pharma and the revenue increased by a stellar 17% to EUR 856 million. Book-to-bill at 1.0 is lower than last year, but you know the business is more volatile than the other ones, so nothing to be concerned about. Profit, very stable in the fourth quarter at 8%. But overall, throughout the year from 6.2%, 80 basis points up to 7.0%, a very nice performance in our Technology segment. For the group, net profit for the year, in 2025, we achieved EUR 176 million for the full year. There is an impact in there that I need to mention. We bought back shares from minority shareholders in one of our larger entities that had a negative impact on the financial result and it had a negative impact on our tax rate. So consequently, the earnings for the year and the earnings per share are down by 1% for 2025. Cash flow. I think Thomas mentioned it before, we achieved EUR 330 million free cash flow for the year, a 75% increase, 110% cash conversion rate, some positive effects in here, a large payment from a dispute in the United States that we settled in 2024 and the cash came in, in 2025, so that certainly helped to improve the cash flow. But more importantly, our working capital efficiency that we measure in net trade assets over revenue has improved from 9.6% to 8.3% as we had planned and announced it last year. On the net liquidity or net cash position, no change on the debt side, very stable on the financial debt and also on the leasing liabilities, they fluctuate a little bit with the acquisitions. But we had payouts for the share buyback program. We had payouts for M&A, and we had payout, obviously, for the dividend but still, we increased our net liquidity position from EUR 88 million to EUR 146 million by almost EUR 60 million despite those payouts that we had. No change on net debt and consequently no change on the leverage. We're down to 0.3 at the end of 2025. Capital allocation, very important. No change there. Dividend, very important. We will propose EUR 2.80 per share. That's up 17% from last year where we proposed and paid out EUR 2.40. We are funding our organic growth in terms of sales improvements, people development, innovation, digitalization. M&A plays a significant role. And more importantly, and as we announced at the Capital Markets Day, we will accelerate there. And then obviously, if something is left then we have all kinds of options in terms of shareholder returns, but it's also very important that we maintain no matter what we do, we maintain our investment-grade rating. Let's take a quick look into 2026. The updated segment structure, as shown on the left-hand side. The segments are in size more equal than before. Western Europe is about 1/3 of the group, Central Europe a bit less than 50% and international is about 20% of the group. So it's more balanced than what we had before. We are working on a full restatement, and that restatement will be made available in the week of April 20 to everyone who is interested and we will publish this on our website. So for the Western Europe segment, which includes countries, Holland or Netherlands, Belgium, and the U.K. We see revenues of EUR 1.8 billion to EUR 2 billion for next year and an increased margin of 7% to 7.4%. Central Europe, which includes Scandinavia, the Nordic countries, Germany, Switzerland and Austria, we see a revenue of EUR 2.5 billion to EUR 2.7 billion and an increased margin of 5.8% to 6.4%. And for international, EUR 1.05 billion to EUR 1.2 billion and also an uptick in EBITDA margin of 4.2% to 5.0%, and then reconciliation is just for completeness sake. So that, I think, good targets and what it does for the group. I'll turn over back to Thomas.
Thomas Schulz: Thank you, Matti. So this is the group outlook. You see here on the right side of the slide, the full year '24, '25, the outlook for '26 and of course, the midterm targets for 2030 because that is where we run to. When you look to the outlook, the EUR 5.4 billion to the EUR 5.9 billion reflects that what we see in a volatile business market, but at the same time, the growth potential, what we initiate to have. On top of it, an improvement in the EBITDA margin from 5.8% to 6.2%. For us, always as in the year 2025, the midpoint is the most important in that guidance and the free cash flow, EUR 250 million to EUR 300 million because we don't repeat or we can't repeat each year, any legal dispute where we get then cash paid in the year after. Important for us here is the cash conversion. And there, we target, of course, more than 90% towards the year 2030. Important in that is our development as a company. And this actually is the whole strategy of the Bilfinger Group. As simple as it should be, it shows that we work on our own efficiency, what we call operational excellence at the bottom as well as the market expansion and then you see 3 boxes with '25 results just delivered. Then the midterm targets, '25 to '27, what we gave at the beginning of '23, and we gave new midterm targets to 2030 in December last year. You see that the targets what we have from '23 are still on the list, and we achieve. The same we will do, of course, with the 2030 targets. Out of that, summary, again, we expanded sustainable profitable growth in a quite volatile market and the volatility will not end as we are well aware. Our orders received went up 6%, revenue 8%; EBITDA 30 basis points up versus the reported 5.2%, proposal for the dividend is still the same payout ratio of 53% from EUR 2.40 to EUR 2.80. Free cash flow is targeted is EUR 330 million in '25 and quite up from the year before. Outlook, I just explained. And of course, M&A is on our list. We did 3 in last year. And actually, we had one signing of a larger one in just before Christmas. And with that, I would like to give back to Martina.
Martina Kalkhake: [Operator Instructions] The first question comes from Michael Kuhn from Deutsche Bank.
Michael Kuhn: Starting with E&M International in the fourth quarter, I think quite a standout results contribution. You mentioned operational excellence. Any other things you would like to point out or any more details also on Middle East versus North America performance?
Thomas Schulz: So the -- at first, our colleagues did a great job that where we are coming from, especially in U.S., great job. But -- and that's the thing and that's the reason why we keep our strategy target and prioritization target for M&A in North America as well as in the Middle East. We are still too small to be sustainable big player in that market, what has to be with our competence. So the improvement, as Matti said, is predominantly out of the operational excellence, how we are organized, how we work, how management layers, how competence is placed, how the global product centers are working with these parts of the world. And in -- I have to say that, in the situation what we have since Saturday morning in the Middle East, where all our people are safe, and we are very happy and was the first thing what we did in the crisis management. We see that our way of having a decentralized organization, especially with the new segment structure, makes it clear and easy or easier to manage, and that all contributes into a better performance.
Michael Kuhn: Understood. Then on the margin improvement in '26, maybe some idea on gross profit versus SG&A/overhead. You mentioned some of the acquisitions you did came with higher SG&A rates. Any cost savings targeted here? And also on top line performance, you mentioned cross-selling initiatives at the CMD. Do you see those initiatives already bearing fruit?
Thomas Schulz: With the cross-selling. Yes. Cross-selling is -- actually, it means that we are selling the good products, what we have in some spots to all the customers in the Bilfinger geography. The new segments will enable that because they are more balanced. They are more balanced in size. They are more balanced and competent. They are more focused on the customers. And there are less layers in between us and the customer, which always helps. This cross-selling is not really into the figures from the last few years. It's not really in that what we have in 2025. It improved, but you now, as it is an improvement on very little is still little. So there is more to come. It's actually part of the strategic lever market expansion.
Matti Jakel: On the margin side, Michael, and thanks for the question. We continue to drive operational excellence to see margin progression in our gross profit. On the SG&A side, we see a few notches that we can improve year-over-year, and that is what we are also doing. Yes, it's true that the acquisitions came in with higher SG&A cost and we'll take a deep look at what we can do there. And I'm sure we'll find good things that will bear fruit in 2026 in the years following.
Michael Kuhn: Understood. And then 2 on M&A. Firstly, on Teknokon. From today's perspective, when would you expect the closing? And can you provide us with, let's say, a few more details or at least an indication on Teknokon annualized top line contribution and profitability?
Thomas Schulz: The -- we expect the closing, of course, this year if everything goes well. It should be up to the mid of the year, if things are going as expected. Regarding Teknokon's business performance, we actually gave to the market the information that is in the higher double-digit million range in revenue, but the profitability we will not disclose. Teknokon is -- and Turkey is when you look on a map, easy to understand between our growth areas Eastern Europe to the Middle East. When you look on a map, Eastern Europe for us, potentially at the moment, Czech Republic, Romania and especially Poland. But in the future, Ukraine and all the countries in between to the Middle East is building a bridge and starting with that bridge, Turkey is a very important partner.
Michael Kuhn: And then lastly, again, sticking with M&A. How does the pipeline currently look like? Obviously, it can't be too precise, but let's say, is there a realistic chance for further deals over the next few months?
Thomas Schulz: Yes. There's definitely a lot of chances, and I can explain that very short. At first, we work for quite a while, very professional and concentrated on filling up the funnel. Second, we are quite clear what we want to have, or we are quite clear what we don't want to have. We actually gave it on the Capital Market Day with 7 strategic points, which gives the parameter set for M&As. And third, it's a market situation. The industry, our end customers are going more and more for the larger service providers based on CSRD reporting, human rights reporting, equal pay reporting, all the reporting which makes it fairly difficult for smaller suppliers to be competitive. So the ones having multi-service in the offering as we up to being the solution provider are easier than that. So we actually have quite a lot of demand and questions from smaller companies to join us to be part of the Bilfinger family. And that is, as you know, a very important part for us because we are a people company. The ones we acquire, we would like to have that they want to be acquired by the Bilfinger Group.
Martina Kalkhake: We have further questions on the line. So the next question comes from Olivier Calvet from UBS.
Olivier Calvet: Just a couple left. Firstly, can you give us some more color on the hesitant customer behavior you mentioned in North America? Is that from a specific customer type? Or any color you could give us there, that would be great.
Thomas Schulz: Yes. Olivier. Thanks for the question. What Matti rightly said is that you all remember, Mr. Elon Musk, coming into the White House at the end of '24, beginning of '25 with the DOGE program. And in that announcement was to cut positions in government-related offices by 50%. We have in U.S. quite a larger business, which is like commercial contracting, where we actually work throughout these offices and on top of it, some of our clients need, of course, permitting and approvals from these offices. And based on the fact that then the people who were on the target list of Elon Musk at the beginning of '25, they said we will work not that much any longer as before and not over time and so on. A lot of approvals, a lot of things just slowed down significantly. And despite the more positive result, we saw that actually in the figures.
Olivier Calvet: Okay. That's helpful. And then just to come back on your Middle East exposure, obviously, good to hear that your staff is safe there. Can you shed some light on how you're thinking about risk? How you're thinking about country exposure in the current situation?
Thomas Schulz: Yes. The -- at first, again, a big thank you in the Bilfinger Group, very professional risk management, very professional crisis management. The monitoring, the reporting, the taking care of own individuals in the Middle East as well as here in the headquarter and in Europe was outstanding positive. It shows a strong company. When we look into the Middle East, we cover there or we are acting in 7 countries, not in Iran, to make that fairly clear. We are not in Iran. Second, we are doing maintenance predominantly on customer sites and helping them to keep the sites up and running. We help them in engineering. We help them in turnarounds. We do a lot of work on the customer side. That work is still ongoing. And it's not impacted our business through logistics hurdle or traveling people in or out or goods in or out because our organization is acting local in a decentralized manner and on top of it, if we need support, which is always the support out of the competent centers then we do that digital or by phone. When we look into the risk in the Middle East, it's too early to say. But as we know, at the beginning of the crisis, it gets always very hot in the media. And then the dust has to settle and then to see how it goes on. We will go on and not changing our point of view regarding the Middle East as a growth area where we will be bigger, where we have a lot of fantastic great customers and a lot of business with a lot of investments.
Olivier Calvet: Yes. Okay. And then just on the margin guidance, I'm not sure you'll be able to or willing to give us that, but just trying. Are you able to quantify how much of a headwind is the chemical business and how much support you're getting from energy in your full year '26 EBITDA guidance?
Matti Jakel: Olivier, we're not guiding on industries, as you well know. And as you could see, the development in 2025 that we were moving that the revenue share between the industries were shifting from 28% in petrochemicals and chemicals in '24 to 23% in '25 and conversely, the energy industry from 21% to 24%. So we are -- our business model allows us to deploy resources between the industries. So from that point of view, we feel very well protected against those headwinds, but we don't guide on individual industries.
Olivier Calvet: Okay. And maybe final nuts and bolts, just for you Matti. Tax rate you expect for '26. And I am correct in assuming there is no one-offs you expect in the free cash flow guidance for the year?
Matti Jakel: Yes, no one-offs on the tax rate and/or the cash flow -- free cash flow.
Olivier Calvet: Tax rate you expect for '26 is -- what do you expect?
Matti Jakel: 24%, 25%, that's the usual.
Martina Kalkhake: And the next question on the line is from Craig Abbott from Kepler Cheuvreux.
Craig Abbott: A couple of remaining. Once again, this year, similar to last year, your guidance spread from the low end to the upper end is quite large. I appreciate it's still early in the year and obviously, there's a lot of geopolitical volatility out there. So that's understandable. But I just wondered if you could shed some more color on there about what your scenario assumptions are as to like what would happen to only have a flat top line and what will happen to be able to reach that upper end? That's my first question, and I have one more.
Thomas Schulz: Yes. Thank you very much, Craig. As you know, when we give a guidance for us, the most important is the midpoint. And the -- and that is what we actually calculate and then we look around what is the volatility in the market and that gives the spread. So out of that, what we see is, of course, the high volatility in the market and Saturday morning last week was not helping in that to make it like this. Not that we are from a business point of view really heavily impacted as far as we see it at the moment. But of course, it brings uncertainty into the world. And we all know uncertainty is not a good food for investment on our customer side. On the other side, we see the dramatic need and demand for better energy solutions, not only more or lower in cost actually more to be safe that energy is always available at the right amount at the right location, especially in Europe. And that is what we not only have in Europe, we have that in the U.S. too and the thing when we look into that is positive from that. Second in that is the chemical industry, which suffered a lot reached a level where we see and we hear from our customers that their restructuring programs and efficiency improvement programs are taking actually quite a positive development. So slight -- a little bit light, a very small light at the end of that long tunnel we see. So that is another positive in it. Then we go on with the strategy execution. We did by purpose, as we explained it in December, an upgrade of our strategy to be better positioned to that what happens in the next few years, especially our sales force. We will be closer to the client. We will help them more, and we can show them with digital products to be more efficient, which is for us then a more profitable business, too. Last but not least, of course, things like long winter time, high volatility are more on the negative side. On the positive side are the developments, what we see to come, Ukraine, the Baltic states, infrastructure packages and so on. So it is quite a balanced outlook what we think, no matter that we have a very volatile market.
Craig Abbott: Okay. And the second question is rather specific, but it was specifically mentioned in your detailed outlook report in the annual report where you were talking about the various end market investment programs. And I'm referring to the U.K. oil and gas services business, which you suggest is expected to decline by 1/4 over the next 3 years, while the industry and therefore, the industry spend would decline, obviously, by a similar amount. I just wondered if you could give us some indication of how significant this end market has been for you?
Thomas Schulz: Yes. Actually, this whole oil and gas market in the U.K., when you look 20 years back and where it is now, significant less providers are in that business, a lot are out or completely gone as a company. Actually not so long ago, we saw that with peers. Second, we know that it will go down and we work for years, of course, to counteract on that, as Matti rightly said, to go into other industries, process industries where we were not so focused before on it. But actually, it's the same 80%, 90% of the same work, food, pharma, hydropower, nuclear, there is a lot what we can do more as Bilfinger in the U.K. and actually in Benelux, too and what we call in the Western European segment, which is one of the arguments why we have that as one segment because it's the same thing, shift slightly from one industry into multiple different ones where we have a lot of good experience and already some of it in the top line. So the fact is the U.K. oil and gas business will go down in that service part but the fact is that we were and we are further able to counteract and actually to put something on top of it.
Craig Abbott: Okay. And that's very specific U.K. You're not seeing the Norwegian business or other decline?
Thomas Schulz: So the -- actually, Statoil just came out that they found another oilfield or another carbon hydrogen field, oil and gas. And there's no intention at the moment that they really go into it like we see it in the U.K. At the same time, we should not forget that the oil and gas industry works very much on expanding their business model into carbon capture, but will be more and more important, similar technology, same customer, similar 80%, 90%, the same work for us. It's actually for Bilfinger quite a good news. So we see an industry going a little bit down and [ others ] will come up. And that is, as we saw in the last few years, helping us a lot. Give you one example in that, that we are not, how to say, playing too much Oracle on U.K. and Norway. Take Germany. When I joined, I think Germany was in the top line, 26%, 27%, and now it's 21% and the group still was growing 8% per annum since 2022. So we are, as Bilfinger with our business model, definitely able to adopt to new situations and to capture opportunities to make out of challenges, actually good opportunities as it should be.
Martina Kalkhake: [Operator Instructions]. And the next question comes from the chat from [indiscernible] from AlphaValue and I will read that out. If high energy prices need to lower industrial output in Europe, could that eventually reduce maintenance demand for Bilfinger? How do you see sustained high EU energy prices affecting plant utilization and maintenance?
Thomas Schulz: Yes. Let's start with the high energy prices, lower output. It is a relative game. If the prices in Europe are relatively higher than in other parts of the world, our customers are more under pressure with their production cost. So if the world suffers not to get enough oil and gas, then it hits the whole world and maybe some parts more to the east, more based on Iran than actually Europe or the United States at all. Yes, there is a connection in it. But if customers are coming under pressure, regarding the output and the energy costs, they actually get from us more support. They get from us more support. This is a pressure market as we enjoyed already since years in Germany. What is the difference for the Bilfinger Group? We -- I look into Germany now, which is under pressure and was under pressure in the last few years. We actually got more orders in the amount of orders, but they were smaller, significantly smaller in size because in a recession market, if you get an order for 100, you finalize it for 100. In an expanding market, you get an order of 100, you finalize it on 130. That's the big difference. But workload, we have a lot. Then regarding energy prices, plant utilization and maintenance, same thing, same part. We are looking into very much when customers plan to shut down complete plants and where then the lack of capacity, which is then shut down in that location is going. And what we see, it is not all going. It's wrong information to say everything goes to China. We don't see that. We see it in other parts of Europe and other plants to get a higher utilization where we help to shut down as well as to increase the higher utilization. And on the other European plants as well as into the United States. And of course, more and more still from a lower scale, the Middle East plays a more important role in what we call the regular chemical and petrochem business.
Martina Kalkhake: Thank you, Thomas. I hope this answers your question, [ Igor ], but feel free to add a follow-up in a chat, if you like. At this time, there is no further question in the chat or also on the line. So let's probably give it a few seconds to add further questions, if you like before concluding the call. So I see there's a further question coming up in the chat. Let's give it a moment. The question is from Gerard O'Doherty from Metzler, Bankhaus Metzler. I don't see a question here in the chat yet. But I think he wants to ask via audio. So I'll ask technicians to open his line. He's dialed in as well. Gerard, can you -- yes, and line open. We need a few more seconds. Gerard we don't see you see dialed in per phone. Would you mind to type your question on the chat, please? Let's give it a few seconds. Otherwise, we can also bilaterally follow up. So unfortunately, that doesn't seem to work. I suggest we conclude the call now as there are no further questions. Now it's coming up. So I suggest we take it. So the question from Gerard is on working capital improvement. What we should expect this year on working capital improvements?
Matti Jakel: We continue to work on the working capital management and on the improvements. We had a significant improvement in 2025. That will definitely stick in 2026. A similar improvement, I think, would be more difficult to repeat. Otherwise, our free cash flow guidance would be higher. So you can expect it to stick and we're happy to improve year-over-year.
Martina Kalkhake: Thank you, Matti. And there's also a further question from Gerard whether the order pipeline has picked up in January, February of 2026.
Thomas Schulz: Yes. We will give comments on the first quarter when we announce the first quarter. I think you expected that answer. The -- yes, not more to say on that.
Martina Kalkhake: And another follow-up from Gerard, whether on the FX development in '26, we can give comments regarding the weak U.S. dollar.
Matti Jakel: If I knew where the dollar would go, I'd not be standing here, I guess. Well, we have all seen the weakening in 2025 that has sort of come to a plateau. With the events and developments of the last few days, the dollar has strengthened somewhat. But I guess that's the normal volatility in volatile times. It's anybody's guess. So I think there are so many economists out there who are much better suited to comment on where the dollar versus the euro will be in 2026. I think if you ask about exposure as our business is very local, and we're not relying on materials and exports and imports, our exposure is very, very small on the fluctuations of currencies.
Thomas Schulz: Yes. We go in line with that, what market in general expects for the dollar development. We work here with the standard agencies about it because in a volatile market to forecast is -- it's [indiscernible].
Matti Jakel: Yes. From -- maybe just one addition here, from an operational point of view, as far as our contracts are concerned, we are not hedging currencies. It's not necessary because we work in a local currency. We are being paid in local currency. So our hedging volume is very, very limited.
Martina Kalkhake: We have one further question on the line from [ Andreas Wolf ] from Bereberg.
Unknown Analyst: Congratulations on the achievements in 2025. It has now been nearly a year since the U.S. administration introduced its tariffs. Let's see whether those will remain in place. But my question is related to the client behavior that you might have observed since then. What implications does the globalization and location have for Bilfinger's business prospects?
Thomas Schulz: Actually, no direct impact. We are a people company. The competence what we have to send around the world, we do digital or by phone. We have a few people who can travel in and out, but the flow of goods of hardware in our group is very, very, very limited. So the tariffs are not hitting us directly. When we then look on the customer side, it is a lot of debate about which impact that has on the different products and the different production costs, et cetera, et cetera. But at the end of the day, it actually focus our clients to get more efficient. And this is the core of what we offer, efficiency improvement and efficiency enhancement on the customer side. It is actually quite a good entry for us to go to the client and saying and talking with them, you have tariff headwind. We can help you to maneuver to monitor -- digital monitor the performance of your site, no matter where they are located and you can let us call it play it in the operation more from an international point of view, which definitely helps customers. So out of that headwind in tariffs, we can do some more products. But it is fair to say that any disruption in the global business always is not a good food for investment. And so the mood on some customer groups is, of course, not that positive, but it's that long, not that positive that we actually don't think that '26 will be a different year than '25.
Martina Kalkhake: Thank you very much. That also was the last question on the line and also in the chat. So we conclude today's Q&A session. Thank you all very much for your participation this afternoon. As usual, if there are any further questions, the IR team is here to help you with your models and to answer further questions. Thank you very much, and goodbye.
Thomas Schulz: Goodbye.
Matti Jakel: Bye.
Operator: The conference has now concluded, and you may disconnect. Thank you for joining, and have a pleasant day. Goodbye.